Ian Webber: Good morning, everybody, and thank you for joining us. I hope you’ve been able to look through the earnings release that we issued earlier on and been able to access the slides that accompany this call. As you know, Slides 1 and 2 remind you that today’s call may include forward-looking statements that are based on current expectations and assumptions and are by their nature, inherently uncertain and outside the company’s control. Actual results may differ materially from these forward-looking statements due to many factors, including those described in the Safe Harbor section of the slide presentation. We also draw your attention to the Risk Factors section of our most recent Annual Report on Form 20-F, which is for the calendar year 2015, and was filed with the SEC on April 15, 2016. You can obtain this via our websites or via the SEC’s. All of our statements today are qualified by these and other disclosures in our reports filed with the SEC. We do not undertake any duty to update forward-looking statements. For reconciliations of the non-GAAP financial measures to which we will refer during this call to the most directly comparable measures calculated and presented in accordance with GAAP, please refer to the earnings release that we issued this morning, which is also available on our website. I’ll start today’s call by reviewing the first quarter of this year and provide an overview of our fleets and our growth strategy. After some commentary on the current state and prospects for the container shipping industry from Tom Lister, our Chief Commercial Officer; Susan Cook, our Chief Financial Officer will give you an overview of our financials. Then after some brief concluding remarks from me, we would be pleased to take your questions. Looking at Slide 3, we generated strong predictable results for the quarter, as all of our fleet continues to operate on long-term fixed rate time charters with strong counterparties. Revenue for the quarter was $42.6 million, with reported net income of $4.6 million. Normalized net income, which adjusts for challenges associated with the tender offer for our bonds, which we closed last month was $5.4 million, normalized net income, $5.4 million, which is up significantly from the $24,000 effectively break-even in the prior period Q1 of 2015, due mainly to the contribution from the three OOCL vessels full contributions from two of those in Q1 this year compared to Q1 last year, reduced daily operating costs and the eliminations of negative earnings from the two vessels, which we scraped in December last year. Adjusted EBITDA was $29.3 million. In the quarter, we retired – we’ve retired $26.7 million principal amounts of our 10% notes through the full acceptance of our mandated excess cash flow and sale proceeds tender offer, this closed mid-March of this year. Improved earnings and reduced debt has lowered our net debt to last 12 months adjusted EBITDA from 4 times – 4.0 times at the end of 2015 through 3.8 times at the end of March 2016. And we believe there’s further opportunity in 2016 to reduce this ratio. Now turning to Slide 4, you’ll see that our results continue to be strong and consistent, growing in line with our acquisition of the three vessels from OOCL and due to our contracted charter cover, protecting us from the significant weakening in the spot charter market over the course of 2015, most recently, which weakness continues into 2016. The slides quarter-on-quarter revenue and EBITDA decreased in Q1 2016 against Q4 2015, reflects the sale of our two oldest vessels during the fourth quarter. These obviously contributed to revenue in Q4 2015, and also EBITDA positive in that quarter. All of our charters continue to perform exactly as planned, reflecting not just the strong financial standing of our counterparties, CMA CGM and OOCL, but also the consistency of our operational performance from high-quality will maintain vessels, which enables us to achieve near 100% utilization quarter-in and quarter-out. Because of these factors and our focus on long-term fixed rates contracts, we have reminded entirely insulated from the current challenges in the market, and we’ll do so for sometime as you can see on Slide 15 – sorry, Slide 5. This shows our charter portfolio with 4.6 years of average – weighted average remaining contract cover and zero exposure to the spot markets, until at least, late 2017. Our contracts amount to some $749 million of revenue, which is measured to the midpoints between the earliest and latest possible charter expiration dates. And furthermore, as you can see, we built a portfolio of charters with staggered expires to ensure that our exposure to any given point of the cycle would be limited. And are also the size of the most of the vessels coming up charter towards the end of 2017, are among our smallest and lowest earning ships. On the Slide 6, we’ve laid out our strategic vision of the company. This is essentially the same as it has been for some, [ph] the tomorrow. Now, moving forward, we’re focused on continuing to grow our fleet of midsize and smaller vessels on a proven and rational basis, maintaining our focus on immediately accretive multiyear charters on the sale and leaseback transactions with high-quality counterparties, whilst potentially further diversifying our charter portfolio. At the same time, we continue to look for opportunities to further enhance our balance sheet and increase our financial and strategic flexibility. The combination of strong consistent underlying cash flows and active balance sheet management support our ability to accretively allocate capital. Specifically, we believe that in the current market environment, marked as it is by profoundly depressed spot charter market rates and asset values and continuing pressure on liner companies and owners, which Tom will talk a little bit more about shortly. This market environment presents opportunities for us to perceive both proactive deleveraging in the open market and attractive vessel acquisitions that meet all of our criteria. With that, I’d like to hand over to Tom for some commentary on the market.
Thomas Lister: Thanks, Ian. Compared to be little have changed in the market since our last earnings call, earlier this month, the IMF released an update as well in the Economic Outlook, titled Too Slow for Too Long. As anticipated, global GDP growth forecast for 2016 will revise down by 0.2 points to 3.2%. And in general near-term risks to global growth and trade remain weighted to the downside. Turning now to Slide 7. Containerized trade growth in 1Q 2016 has remained weak with full-year growth currently expected to be a little over 4%. Significantly, however, supply side growth is down with a fleet forecast to grow in 2016 and about half of the rate they did last year of somewhere in the 3s. Meantime, the liner industry is facing challenging times with a mainlane trade, such as Asia/Europe on the particular pressure. 2016 demand growth prospects in non-mainlane trades, which collectively represents around 70% of global containerized trade volumes, the largest trade group being into Asia a better, but still somewhat lackluster. As you will see in more detail later, these non-mainlane trades are serviced mainly by midsized and smaller tonnage. Slide 8, shows that rates in the time charter spot market also remain under pressure. The right-hand chart illustrates spot rates for all ship sizes captured by the various indices have converged on OpEx continuing the trend of 4Q 2015. As you would expect and can see from the left-hand chart, weakness in spot market earnings also puts pressure on prices for secondhand ships, generating distressed purchase opportunities and capitalizing scraping. Turning to Slide 9, you can see that scrapping activity is indeed increasing. As demand for ship has fallen, idle capacity has climbed and now stands at around about 6.9%. Scrap prices have firmed somewhat recently and I will note that $300 per ldt in subcontinent. This has helped to accelerate scrapping with over 140,000 TEU scrapped in 1Q 2016. In fact, more capacity was scrapped in a single month, March, than during the whole of 1Q 2015. All scrapping activities to-date has been focused on mid-size and smaller tonnage, helping to tighten supply side prospects for these size segments going forward. Slide 10 highlights the importance of mid-size and smaller tonnage, which are the segments upon which Global Ship Lease is focused for the industry. The main chart shows the average ship size and maximum ship size deployed in the two dozen trade lanes, which constitute global container trade. The point made here is that, mid-size and smaller ships, i.e., those over 10,000 TEU or less, are key to most trade lanes, while the really big ship to deploy in only a handful of trades, most notably Asia, Europe, and the Transpacific. At the end of 2015, between 1,500 and 1,600 ships, or approximately 30% of global fleet were deployed in a single trade grouping, Intra Asia. Of these 1,500 to 1,600 vessels, only 11 were larger than 5,200 TEU, while nearly 1,300, somewhat 80% were smaller than 2,000 TEU. Slide 11, looks that how the global container fleet has evolved since 2000. The main chart shows that fleet and vessel upsizing has continued with average vessel size increasing from around 1,750 TEU in 2000 to nearly 3,650 TEU by the end of 2015. However, it also shows that the order book to fleet ratio, which peaked at over 60% in 2007, has since fallen below 20%, as the industry has recalibrated to a lower growth paradigm. More significantly for Global Ship Lease, as the smaller chart on the right-hand side demonstrates, small and mid-size vessels are underrepresented in the order book with order book to fleet ratios for segments below 10,000 TEU in the 3.5% to 7.1% range, against a ratio of 19.2% for the overall fleet. Slide 12, is the last in the market section and captures some of the most significant and recently emerging trends in the industry, namely liner operator consolidation and re-jigging of the various alliances. The merger of CMA CGM and NOL is expected to complete around the middle of the year, while Hapag-Lloyd and UASC have recently announced that they two are considering a merger. In the meantime, CMA CGM, COSCOCS, which is obviously resulting from the recent merger of China Shipping and COSCO. Evergreen and OOCL have announced their intend to launch a new mega alliance, the Ocean Alliance. As yet, it is unclear how minor operations outside either the Ocean Alliance or 2M, which is the other alliance between Maersk and MSC will react. Neither was it clear how they’re restructuring the troubled Korean operations, HMM and Hanjin will play out over the medium-term. However, over the longer-term, we would expect minor consolidation and the formation of mega alliances to help stabilize in otherwise volatile industry and bring more discipline to the ordering of new capacity. To conclude the section, I would like to underline the following points, which are largely accurate in those made in the last earnings call. Number one, the world in general on container shipping in particular face significant challenges and uncertainties in the near-term. Two, in our industry, we believe the brunt of these challenges will be borne by containership vessels with significant near-term exposure to the spot market, which in turn, we expect to drive both increased scrapping and distressed purchase opportunities. Three, limited new building investments in mid-size and smaller ship, combined with accelerated scrapping, should tighten the supply of these vessel segments going forward. These factors together with the continued demand for such tonnage in the trade lanes representing the lion’s share of containerized trade and those trades tending to show the most robust growth, suggest favorable prospects for mid-size and smaller ships in the medium-term. Four, we believe that liner operator consolidation and the emergence of mega alliances should be helpful to the industry over time, improving discipline and keeping our firm a lid on the bottle containing the over ordering gene. Finally, five, with our charter coverage, industry leading counterparties and continued focus upon mid-size and smaller tonnage, we believe Global Ship Lease is well-positioned to weather the challenges of the near-term and build value over the medium and long-term. I will now pass the call over to Susan Cook to run through the financials. Susan?
Susan Cook: Thanks, Tom. Please turn to Slide 14, for a summary of our financial results for the three months ended March 31, 2016. We generated revenue of $42.6 million during the first quarter, up $4.9 million from revenue of $37.7 million in the comparative 2015 period, with the increase being mainly from the effect of our fleet expansion. With no off-hire in the quarter, utilization was 100%. Vessel operating expenses were $11.4 million, down $1 million from the prior year period. Importantly, average costs per ownership day at $6,961 over the quarter was $620 per day, or 8.2% lower than last year comparative period, due to lower lubricating oil costs from unit price reductions, lower cost of repairs and maintenance, at in part from the disposal of Ville d’Aquarius and Ville d’Orion, and lower cost of insurances on renewals. Our interest expense was $13.1 million, up $1.2 million from the $11.9 million in the comparison period. This increase is due to $0.5 million premium paid in relation to the tender offer, which closed in March. And accelerated write-off of that portion of the original issue discount and deferred financing costs attributable to the $26.7 million of notes, which were retired, plus a full quarter’s interest and amortization of deferred financing charges on the revolving credit facility and on our secured term loan. Net income for the first quarter was $4.6 million, compared to $24,000 of net income for the three months ended March 31, 2015, driven primarily by the contribution of the OOCL vessels added in late Q1 and Q3 2015, respectively, as well as lower daily operating costs. Normalized net income adjusted for the charges associated with the tender offer was $5.4 million in the first quarter 2016. Turning it to Slide 15, and to the balance sheet, the key items as of the end of the quarter include cash at $30.5 million, total assets of $870.1 million, of which $836 million is a record. Our total debt was $463.3 million, which is down by $29.4 million from December 2015, following the full take up at the tender offer on the notes in March and mandatory repayments on our revolving credit facility with a portion of the sale proceeds from Ville d’Aquarius and Ville d’Orion, and also scheduled repayment from the secured term loan. Shareholders equity at the end of the quarter was $401.4 million. Slide 16 shows our cash flows. Main times to note here, of net cash provided by operating activities was $7.2 million in the first quarter, and the repurchase and cancellation of the $26.7 million principal of notes, as result of the full take up at the mandatory excess cash flow and sale proceeds tender offer. I would now like to turn the call back to Ian for closing remarks.
Ian Webber: Thank you, Susan. If you turn to Slide 17, I’ll briefly summarize before taking your questions. Our internal fleets of 18 vessels, including the three, which we bought over the last 24 months also from OOCL remains fixed on charters through at least late 2017, totally insulating us from the current market uncertainty and ensuring that we continue to enjoy stable and predictable cash flows. These contracted revenues amount to $749 million over a weighted average remaining duration of those charters of 4.6 years. Our consistent earnings from predictable cash flow also puts us in the position to be able to see vessel acquisitions at a time when many players are increasingly distressed and investment capital for the sector remain in chase. We weigh grow for growth’s sake as we said before we’ll exercise considerable improvements in the way we approach potential purchases. But from the purchases that we have made we’ve added 35% or so to a run rate adjusted EBITDA and we believe we’re well positioned to continue along this path with as I said prudent on accretive growth. At the same time we’ll continue to pursue enhancements to our capital structure on an opportunistic basis. We substantially reduced our net debt to last 12 months adjusted EBITDA, bringing it down from 4.6 times at the end of 2014, 4 times at the end of the 2015 and now 3.8 times at March 31, 2016. We believe that further opportunities exist to improve on this ratio. In these ways, we believe that we can create shareholder value by seizing opportunities that are emerging in this difficult current market environment, for a company such as GSL with a strong balance sheet, a solid reputation in the industry and access to internally generated capital and potentially external capital as well. With those comments, we would be happy to take any questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Mark Suarez with McQuilling Holding. Your line is open.
Mark Suarez: Hi, there Ian, Tom, Susan. Thanks for taking my questions here.
Ian Webber: Hi, Mark.
Mark Suarez: And maybe we can start with the balance sheet. I know that you got notes callable from April 2015. And I’m wondering how you’re thinking about refinancing your debt have you – how your discussions with lenders going, so if can you give us some color on that that will be great?
Ian Webber: Sure, I think we have this question couple of months ago and the answer remains much the same. And now realistically if we were looking at refinancing in today’s market, it will be challenging and that was one of the principal reasons behind eliminating the dividend and conserving cash, or either for deleveraging or for further accretive price. But the notes eventually pull due in April 2019, so we have got three years, I mean that’s the reasonable length of time for the industry so to cover and for us to continue actively managing have a chance of portfolio and balance sheet.
Mark Suarez: Okay, so do you have a sense of how much that you can repaint 2016? I know you did $26 million in somewhat million this quarter, do you have color there?
Ian Webber: The $26 million was mandated and it was the half of the obligations on us. In terms of total cash generation, we need to allocate that and we would like to allocate that partly to growth and partly to deleveraging. But if you take run rate to EBITDA of call it $110 million maybe a little bit more, but $110 million is less – our interest and less our dry dockings we’ve got half a dozen dry dockings this year. We maybe looking at $50 million also maybe a bit more of it’s firmly generated cash on an annual basis.
Mark Suarez: Okay, that’s helpful. And then you touched on accretive built potential here. I know that we have seen over the past six to seven months, the Panamax is hectic and we have seen DC rates go down, we have seen increased distressed opportunities. Do you expect this spin-off distressed opportunities to manifest itself into more numbers, in other words to be more, do you see more of those opportunity throughout 2016. And we consider such opportunities to go after those vessels, if you find a good counterparty on the other side of the transaction?
Ian Webber: Sure, I’ll let Tom comment specifically on the opportunities that we’re seeing in the market. But just as a sort of picture, we’re less interested in distressed purchase opportunities within some folk. Our objective is to add immediate earnings to our balance sheet, sorry – to our business from the get-go. You can certainly make the good return on distressed purchases and over time, but likely it’s not go best be breakeven cash wise and potentially negative on cash in the near-term given the very poor charter market rates in the spot market. So we will focus on transaction structure the same way as the three OOCL leaseback transactions rising immediate cash generation and significant free cash flow yields on the investment. But in terms of the comps of our opportunities we’re seeing in the market, maybe Tom could comment.
Thomas Lister: Sure. Hi Mark. Echoing Ian’s words, we’re not really focused upon the distressed purchase opportunities. However, I would observe that we – the flow of perspective ships or deals or how we want to term them that are passing across our desks at the moment is on the rise. And curiously at the same time, the number of deals actually transacted or closed in the market during Q1 of this year is down rather significantly on the number of deals transacted in the same period of last year. So that suggest to us that either prospected buyers are being patient, because they believe that the market is going to continue to move more favorably in the direction of prospected buyers or maybe there’s less willingness than in the past to put capital to work within the space.
Mark Suarez: Got it, okay and then Ian, you mentioned so if you want to engage in similar transaction such as OOCL. This OOCL – it still have ships that you can go after by the way?
Ian Webber: Well we wouldn’t comment specifically on any buying that company, but we are – we do believe there are opportunities out there for sale leaseback transactions with a number of possible counterparties. Timing being, probability and timing, we don’t speculate on.
Mark Suarez: And then finally I guess Tom you talked about scrapping the scrapping was very, very high in margins that we said in Q1 2015 if you compare to that quarter. And I’m wondering if you would have to see significantly more scrapping in 2016, you begin to see some stability or some improvement in the especially in the Panamax mark – containership market. What do you think where you’re thoughts on scrapping and the trend?
Thomas Lister: Well, yes that’s a more and more observations really, which underscore I think some of the points we made in the presentation. But the first thing is yes of course more scrapping is definitely better. If you would take the scrapping rates in March and annualize it you could see as much as 750,000 TEU of capacity scrap within 2016, which would be extremely helpful. And I would say that the momentum of March we have seen carry on into April, which is an encouraging sign, so that’s on the one hand. On the other hand, all of the scrapping to-date has been of midsize and smaller tonnage, which is a function of distress primarily still in the seven Ag community and that’s extremely helpful too. So you can look at scrapping as a percentage of the global fleet, which tells you one thing. But more interestingly it’s looking at perspective scrapping as a percentage of the midsize and small effective, which is where seeing the scrapping activity and where we would expect the sort of supply-side tension to come back into play rather faster.
Ian Webber: And further more the midsize in smaller sector, which really represents the charter market.
Mark Suarez: Right, okay, that’s that was great. Thanks for the color, guys. Thanks for your time.
Ian Webber: Welcome.
Operator: Thank you. Our next question comes from Phil Larson with Millstreet Capital. Your line is open.
Phil Larson: Hi, guys congrats on the good quarter. I actually have a couple of quick questions for you. First off other than the tender for the notes have you repurchased any notes from the open market?
Ian Webber: No, we have not. Basically we haven’t buy at March 31, and since then and indeed pretty much for the entire period, since we closed the tender offer on March 14, we’ve been in the close period fragment with our results. So we’ve been unable to transact in. We’re unable to transact to the company, or as individuals for that matter in our publicly traded securities. We become open again to transactions in a couple of days after this call.
Phil Larson: Okay, fair enough. And then the other question I had was, on the drydocking scheduled for this year, one of those scheduled for, those going to be second quarter and third quarter?
Ian Webber: Some of second quarter, I would refer you to our 20-F, which has a scheduled by month and year of likely regulatory drydockings, again, I don’t have it in front of me on the pricing.
Phil Larson: That’s fine. I can dig through that and find that MS business they want to take a look? I think that is it from me. Thank you.
Ian Webber: Thank you.
Operator:
[:
Jim Marrone: Good morning, gentlemen, and nice results on the quarter.
Ian Webber: Thank you.
Jim Marrone: I have two questions. And they may have been already addressed in a presentation or in a question. So I apologize, if you’re going to retalk this, but this probably provide a little bit more color? And maybe just the first thing is just touching on the supplying demand market for the ship in roughly two years when six of your ships will come up charter in the – September of 2017? And since I’m asking the questions now and maybe the second part is just to perhaps discuss the dividend policy and, again, I apologize it’s already been touched on.
Ian Webber: Sure. Well, we don’t know what the supply and demand situation is going to be at the end of 2017 and early 2018. We – there’s a lot of logic to the market being a lot stronger when than it is today from what Tom was saying on a relatively basis. The supply size from its size is smaller tonnage, which really is the charter market as I said before. Supply side growth is constrained, because the order book for these vessels is tiny. And furthermore, as we expect that to be a high-level of scrapping, and it’s really important to remember the one we talked about 600,000 or 700,000 TEU being scrapped. Most people compare that to the total container fleet of whatever it is, 17 million TEU, but actually it’s relevant overly to the midsize of smaller sector. So proportionately, it’s much higher. So constrained supply growth combined with modest, but sustainable we believe demand growth in those trade lanes with these ships that deployed, which represents the majority of global trade and then have – and have some directly affected most of them by the big trade lanes. It’s the emerging economies, it’s the engine in subcontinent, it’s Australasia, it’s South America or it’s a small note sound trades. So we’re hoping for, and indeed, if you look at full cost of charter rates, you do see improvements in charter rates over the next two to three years and going out more. But we’re not complacent. We’re not relying on that. And that’s in large measure because of the significant uncertainty about the future. I hope the Board or drove the Board’s deficiency to suspend the dividend to conserve cash for the future. In terms of dividend policy, right now we feel the best way to create value in the near-term and for the mid-term is, as I said, to conserve cash for either vessel acquisitions to increase our earnings power and to expand our contracted revenue coverage, or to you the cash to delever. And when market prospects improve, then we would reexamine the best ways of returning capital to shareholders, or use that capital to otherwise drive increased value over the longer term.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back to Mr. Ian Webber for any closing remarks.